Unidentified Company Representative: Thank you, operator. Good morning, everyone, and thank you for joining us today on Danimer Scientific's 2024 Third Quarter Earnings Call. On today's call, Interim Chief Executive Officer, Rich Altice; and Chief Financial Officer, Mike Hajost will provide information about our third quarter performance and expectations for the remainder of the year. We will not be hosting a question-and-answer session during today's call. I'd like to note the slide deck that accompanies today's discussion, which is available on the Investor Relations section of our website at danimerscientific.com. As we begin, I'll call your attention to the company's safe harbor language, which is published in our SEC filings and on Slide 2 of the presentation I just referenced. On today's call, we may discuss forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Forward-looking statements include, among other things, statements regarding future results of operations, including margins, profitability, capacity, production, customer programs and market demand levels. Actual results could differ materially from what is expressed or implied in our forward-looking statements. The company assumes no obligation to update any forward-looking statements to reflect events or circumstances after the date hereof, except as required by law. Today's presentation also includes references to non-GAAP financial measures within the meaning of SEC Regulation G. We believe these non-GAAP measures have analytical value but note that they should be taken as supplementary measures of performance and not as alternative to GAAP results. We have provided reconciliations for non-GAAP financial measures to the most comparable GAAP financial measures in our earnings release and our presentation. Thank you. And it's now my pleasure to turn the call over to Rich Altice, Interim Chief Executive Officer of Danimer Scientific.
Rich Altice: Good morning, and thank you for joining us. Before I get into the third quarter results, I'd like to take a moment to introduce myself to share more about the opportunity I see for Danimer. I joined Danimer's Board of Directors in April of this year after having retired from serving as President and CEO of NatureWorks, a leading global biopolymer company for five years. I believe my experience provides me with a deep understanding of the industry and the critical role that biodegradable materials will play to address some of the world's most pressing environmental challenges, which are posed by petroleum-based single-use plastics. Danimer is in a unique position to address these challenges. Since joining Danimer as the interim CEO in mid-October, I've spent time personally meeting with all of our teammates across our locations. I wanted to hear directly from them and also assess our talent, technology and capabilities. I have met or spoken with most of our key customers and have learned a great deal about their commitment to sustainability and how they value Danimer's products to achieve those commitments. I've come away from these sessions even more convinced that Danimer Scientific has what is needed to succeed. We have a talented and committed team, extraordinary technology and an unmatched product offering. I'm excited to build on that foundation as we execute on our commercial plan, bolster our innovation and position the company for long-term growth. While I remain focused on leaving Danimer on an interim basis, our search for a permanent CEO continues. The executive committee has made significant progress on its search, which includes internal and external candidates, and we have retained a nationally recognized executive search firm to support the process. Now I'd like to share an update on our third quarter, starting with some exciting commercial updates. Our significant cutlery award from a large global QSR chain continues to progress well and is in line with the end customers ramp plan. This QSR plans to completely phase out petroleum-based plastic in favor of bio-based and biodegradable plastic for single-use cutlery across all of its U.S.-based restaurants by the end of 2025. We are very proud to be a critical part of that initiative. All of our converter partners selected for this initiative have received initial sets of cutlery molds with additional molds currently in production. Now as a reminder, these cutlery molds enable converters to run Nodax-based PHA resins on their existing equipment, and these molds are being funded by the end customer, reflecting their commitment to this program. At full run rate, we will supply 20 million pounds of resin for cutlery and 3 million pounds of resin for cutlery wrappers annually. To date, we have received orders for over 250,000 pounds of cutlery and film resin and converters have already delivered cutlery to customer distribution centers. We continue to expect this award to reach full run rate in mid-2025. Additionally, I was thrilled to meet with our converter partner, Eagle Beverage and was quite impressed while touring their recently opened state-of-the-art injection molding facility. This facility is dedicated to using our Nodax-based PHA resin to manufacture of single-use forks, knives and spoons. Eagle Beverage has already begun shipping these innovative products to customers demonstrating the immediate market readiness for PHA-based cutlery. Our partnership with Delta Cafes continues to progress, and we have recently completed our second commercial shipment of compostable single-use coffee pod capsule resin. These pods are in full compliance with proposed new EU regulations requiring any coffee pod sold to meet new compostability standards. Our partnership with WinCup also continues to grow as they continue to expand their phade brand to include not just the blue straws that you are familiar with, but also cutlery cups and cup lids. Finally, we are also excited to announce that our partnership with Mars Wrigley has resulted in a soft launch of 100% compostable skittles bag, made with our Nodax PHA-based resin. These skittle bags made an appearance during a Seattle Seahawks football game in October which featured over 40,000 compostable bags. Now I'd like to turn to our third quarter results and near term developments. Our third quarter results were consistent with our expectations, considering the temporary impact of Starbucks reapportionment of their Nodax-based PHA straw business between our converting partners. This reapportionment led to significant disruptions in order patterns, which had a negative impact on our results in the third quarter. We believe these headwinds are now behind us. And it is also important to reiterate that we partner closely with both converters and continue to retain 100% of the Nodax-PHA-based straw business from Starbucks. The progress we've made with our commercial partners demonstrates the significant opportunities ahead and underscore our expectations to grow the business in 2025 and beyond. While we remain focused on executing these commercial opportunities, we are mindful of managing our indebtedness levels and near-term constraints on liquidity as we enter our significant commercial ramp up over the next 12 months. As Mike will share in further detail, we have taken actions to reduce our operating costs and in light of our substantial leverage position, we continue to analyze a variety of transactions and mechanisms designed to reduce debt and provide additional liquidity. I will now turn the call over to Mike Hajost, our Chief Financial Officer, to update you on the financial results for the third quarter of 2024.
Mike Hajost: Thank you, Rich, and good morning, everyone. I'll start with our financial results on Slide 4 of our presentation for those of you following along. Total revenue was $8.6 million in the third quarter, which was down from $10.9 million in the prior year quarter. PHA-based resin sales of $6.7 million decreased by 22% or $1.8 million in the third quarter of 2024 compared to the prior year, which was primarily driven by Starbucks reallocation of a straw resin business that Rich just mentioned. PHA-based resin sales of $1.3 million decreased compared to the prior year and is in line with our previous guidance around our go-forward PHA run rate. Third quarter 2024 PHA sales represented approximately 83% of product sales. We reported a third quarter 2024 gross loss of $7.3 million, which is in line with the prior year quarter's gross loss of $7.7 million. After adjusting for depreciation and stock-based compensation, we reported an adjusted gross loss of $2.3 million this quarter compared to an adjusted gross loss of $2.6 million in the prior year quarter. R&D and SG&A expenses, excluding depreciation, amortization, stock-based compensation and certain nonrecurring items totaled $6.6 million in the third quarter of 2024 which was in line with the third quarter of last year. We continue to pursue cost savings initiatives across many areas of the business. Adjusted EBITDA loss was $8.9 million in the third quarter of 2024, an improvement over a loss of $9.3 million in the third quarter of 2023. Adjusted EBITDA excludes stock-based compensation, depreciation, amortization, interest and other nonrecurring items as reconciled in the appendix. Unrestricted cash and cash equivalents were $22.2 million at the end of the third quarter. Restricted cash as of September 30, 2024, was $14.1 million and is mainly held for future interest payments under our senior secured term loan. We had $4.8 million in excess availability on a revolving asset-based lending credit agreement at the end of the third quarter. Capital expenditures were $2.8 million in the current third quarter and $2.7 million in the prior year third quarter. We ended the third quarter with a total debt balance of $387.9 million, comprised mainly of our convertible senior notes, our senior secured term loan, our revolving asset-based credit agreement and $46 million of our new market tax credit loans, which we expect will be forgiven starting in 2026. As Rich noted, liquidity remains a significant focus for us as we seek to manage cash while we ramp up our sales. In order to preserve cash until these expected sales reached their full potential, we have implemented run rate cost savings in excess of $20 million since early 2022 across all areas of the business. This includes reductions in discretionary spending, reduced labor costs through employee headcount rationalization and the temporary suspension of operations at our Danimer Catalytic Technologies business. We have also heightened our focus on collections and accounts receivable, launched an initiative to reduce on-hand inventory levels and optimize spending on capital projects. Additionally, continue to analyze a variety of transactions and mechanisms designed to reduce debt and provide sources of incremental liquidity. Such transactions will depend on prevailing market conditions, our liquidity requirements, contractual restrictions, various required consents and other factors. These measures may not be successful, and we will continue to evaluate all available actions to address our liquidity. Let me now provide an update to our full year 2024 guidance expectations. Our year-to-date adjusted EBITDA through the third quarter is minus $27.4 million. We expect our fourth quarter adjusted EBITDA to be between a range of minus $7 million and minus $7.5 million, resulting in a full year adjusted EBITDA total of minus $34.4 million to minus $34.9 million, which is within the previous guidance range of minus $30 million to minus $35 million. We have managed our capital expenditures very carefully and now expect full year CapEx will be between $8 million to $9 million within the previously disclosed guidance range of $8 million to $10 million. This range will support existing commitments related to the Bainbridge greenfield facility, maintenance expenditures and other capital projects. Given ongoing efforts to analyze a variety of transactions and mechanisms designed to provide additional liquidity, the company is not providing a year-end 2024 liquidity outlook at this time. I'll now hand the call back to Rich for his closing remarks.
Rich Altice: Thanks, Mike. Thanks to the hard work of our team, we have made considerable progress on our commercial plan and are set to grow in 2025 and beyond. We have many exciting opportunities ahead for our shareholders, customers, communities and teammates as we play our part in addressing some of the world's most pressing environmental challenges. I'm confident that we'll be able to maintain our momentum and meet our commercial commitments while we take steps to improve our financial position. Thank you to everyone listening to today's call for your attention and your continued support.
Operator: That concludes today's conference call. Thank you for joining.
Q -: